Operator: Good morning, and welcome to Sila Realty Trust's Fourth Quarter 2025 Earnings Conference Call and Webcast. [Operator Instructions] I will now turn the conference over to your host, Miles Callahan, Senior Vice President of Acquisitions, Capital Markets Research and Credit for Sila. You may begin.
Miles Callahan: Good morning, and welcome to Sila Realty Trust's Fourth Quarter 2025 Earnings Conference Call. Yesterday evening, we issued our earnings release and supplement, which are available on the Investor Relations section of our website at investors.silarealtytrust.com. With me today are Michael Seton, President and Chief Executive Officer; and Kay Neely, Executive Vice President and Chief Financial Officer. Before we begin, I would like to remind you that today's comments will include forward-looking statements under federal securities laws. Forward-looking statements are identified by words such as will, be, intend, believe, expect, anticipate and other comparable words and phrases. Statements that are not historical facts such as statements about expected financial performance, are also forward-looking statements. Actual results may differ materially from those contemplated by such forward-looking statements. A discussion of the factors that could cause a material difference in our results compared to these forward-looking statements is contained in our SEC filings. Please note that on today's call, we will be referring to non-GAAP measures. You can find the reconciliation of these historical non-GAAP measures to the most directly comparable GAAP measures in our fourth quarter earnings release and our earnings supplement both of which can be found on the Investor Relations section of our website and in the Form 8-K we filed with the SEC. With that, I will now turn the call over to Michael Seton, our President and Chief Executive Officer.
Michael Seton: Thank you, Miles, and good morning to everyone joining us today. As we begin a new year, I look back on 2025, our first full calendar year as a publicly traded company as one during which we faithfully executed our strategy of growing Sila Realty Trust in a skillful and thoughtful manner. Sila was added to several prominent equity indices during the year including the RMZ and the Russell 2000, and our shareholder base has continued to evolve to larger institutional investors from an entirely retail ownership at onetime prior. We believe our ownership transition reflects the market's recognition of what we have been building at Sila for many years, a high-quality, necessity-based health care real estate portfolio designed to deliver predictable, durable and growing income streams through any market cycle. During 2025, we acquired 6 healthcare facilities for an aggregate purchase price of approximately $150 million, which equated to 241,000 rentable square feet. Each of these new facilities fits well within what we call the Sila mold, exhibiting the characteristics that we see in new opportunities, modern construction, high utilization, favorable market demographics and quality tenant sponsorship. After the year-end, we closed on another purpose-built, state-of-the-art inpatient rehabilitation facility in Oklahoma City for $43.1 million. This well utilized facility further expands our relationship with Nobis rehabilitation partners a well-respected and strong operator in the post-acute space. The property was originally constructed in 2022 and has experienced such strong demand since opening that has recently undergone an expansion, increasing its licensed bed count from 40 to 58 beds. With the support of a long-term lease with contractual lease escalators, strong EBITDARM coverage, experienced sponsorship and limited competition, we believe this facility aligns firmly within our objective to deliver lasting value to Sila and its shareholders. Sila's ownership of high-quality, diverse healthcare assets with best-in-class tenancy creates opportunities to invest additional capital in existing properties which experienced outsized demand for health care services within current building envelopes. Over the past year, we have completed over $7 million of redevelopment opportunities at compelling risk-adjusted returns. We are readily prepared to provide capital to our strong and growing tenant base when it aligns with our mutual interest to address market-driven demand requirements with minimal operating execution risk. Consistent with this approach, we have already committed to providing additional capital at our Dover Healthcare Facility as previously disclosed during our third quarter earnings call and intend to execute a similar investment at our Overland Park Healthcare Facility, both of which are inpatient rehabilitation facilities leased to PAM Health, our largest tenant and one of the strongest and most respected post-acute operators. We foresee additional expansion opportunities in the near future, which typically offer more favorable returns compared to recent acquisition opportunities frequently yielding 150 to 200 basis points higher than going in capitalization rates. Turning to an update on the Stoughton Healthcare Facility. I'm pleased to report that the building demolition has been completed and the removal of building debris is well underway which work we currently expect to be entirely finished by the end of the first quarter of 2026. The decision to raze the existing building structures has allowed us to already significantly reduce carrying costs of the property which will be reduced to approximately $35,000 per month from as much as $120,000 per month during the middle of last year. I would like to bring your attention to a few planned dispositions in 2026 and our continued pursuit to optimize our portfolio construction. Toward year-end 2025, we executed purchase and sale agreements on 3 properties: our Henderson, Las Vegas II and Saginaw Healthcare facilities. After year-end, we closed on the sale of the Saginaw Healthcare facility for gross sales proceeds of $14.5 million, while the Henderson and Las Vegas II Healthcare facilities are estimated to close in the first quarter of 2026. We also recently executed a purchase and sale agreement to sell the Alexandria Healthcare Facility which became vacant in December of 2025 with the departure of our ASC tenant. Subject to the typical due diligence process, we would expect this sale to close around the end of the first quarter or beginning of the second quarter. We had approximately 4.8% of total gross leasable area scheduled to expire in 2025. Our leasing team successfully retained 90% of scheduled expiring tenancy on a square foot basis, while the 10% of tenants who did not renew represented only 0.5% of ABR. The Alexandria Healthcare Facility, which I just mentioned, accounted for 60% of that 10% nonrenewal. In addition, the tenant which had a lease expiry in 2025 at our Tampa Healthcare Facility did not fully vacate its space. It simply reduced its footprint in the building due to the departure of a subtenant. This available space is only 2,100 square feet and has seen strong interest due to the facilities location in a bustling medical corridor in Tampa in close proximity to BayCare St. Joseph Hospital in BayCare's newly planned Health Hub. Our lease renewal activity and proactive early lease extensions at our other properties resulted in an increase to our weighted average remaining lease term from 9.7 years at the end of the third quarter of 2025 to 10 years by year-end. For leases scheduled to expire in 2026, we have already completed renewals for 34.8% of the 4.1% of total gross leasable area expiring in the year. For the renewal pipeline for 2026, we have a known conversion of a single-tenant property into a multi-tenant property. With this change, the legacy tenancy will renew approximately 60% of the total space leaving the balance of 40%, which represents approximately 0.3% of company ABR to be relet to new tenants. We have already engaged a well-known broker and are actively marketing the anticipated available space. Our portfolio continues to demonstrate significant strength, while our high credit quality remains a critical factor in ensuring Sila's sustained success. Notably, there have been meaningful improvements in our tenant credit quality during 2025, which have aided the growth in our investment grade-rated tenant guarantor an affiliate percentage by 2.3% on a year-over-year basis to 40.6%. As an example of credit quality upgrade in the fourth quarter of 2025, Washington Regional Medical Center, an investment-grade rated best-in-class regional hospital system, executed a lease and took occupancy of our Fayetteville Healthcare facility from Community Health Systems. This transition moves Community Health Systems from being our third largest tenant to our seventh largest tenant at year-end, further diversifying our tenant concentration and upgrading our overall sponsorship profile. In addition, subsequent to year-end, Community Health Systems completed the divestiture of its 3 Pennsylvania hospitals, including our Wilkes-Barre Healthcare Facility to Tenor Health Foundation effective February 1, 2026, which will further reduce our CHS exposure going forward. In the fourth quarter, our tenant at our Savannah Healthcare facility was successfully sold through the bankruptcy process to select medical, an existing tenant in Sila's portfolio, moving Select up to be our fourth largest tenant and providing operational strength and stability to the Savannah asset going forward. Lastly, on the tenant sponsorship front. Late in the fourth quarter of 2025, Cencora, one of the largest Fortune 500 companies announced that it has entered into a definitive agreement to acquire the majority of the outstanding equity interest that it does not already own in OneOncology. Cencora with over $300 billion in annual revenue will be the common control at our 7 former GenesisCare master leased properties. As we look ahead to the full year 2026, I see Sila as a company in prime position to continue executing on its strategy. We have the balance sheet strength, pipeline, team members and discipline to continue to allocate capital skillfully and thoughtfully. The Silver tsunami is imminent with the entire baby boomer generation reaching 65 or older by 2030 which is expected to increase total outpatient health care spending to nearly $2 trillion. We continue to believe that this demographic shift should drive increasing patient volumes in case acuity supporting stronger operator revenues and therefore, more durable income streams for Sila. As we know, health care is nondiscretionary, which means health care real estate is vital social infrastructure. Today, Sila owns over $2 billion worth of institutional quality health care facilities with high utilization, which, along with the triple net lease structures, that we have in place at 99.9% of our properties provides a powerful combination for long-term success. I will now turn the call over to Kay to discuss our financial performance.
Kay Neely: Thank you, Michael, and good morning, everyone. I'm pleased to report that our disciplined approach to operational integrity and capital allocation drove strong financial results throughout 2025. For the year ended 2025, cash NOI was $169.9 million compared to $168.6 million for the year ended 2024, representing a 0.8% increase. This increase was largely driven by acquisition activity and an increase in same-store cash NOI of 0.9%, partially offset by dispositions and the impact of the vacancy of the Stoughton Healthcare Facility. Year-over-year cash NOI growth was also impacted by the collection of over $6 million in onetime lease termination and lease severance fees in 2024 compared to less than $300,000 in termination fees in 2025. If we were to exclude these onetime fees from cash NOI in 2025 and 2024, cash NOI and same-store cash NOI growth would have been 4.4% and 1.1%, respectively. Turning now to our earnings metrics. FFO per share for the full year was $2.16 or a 3.6% increase from the previous year, while AFFO per share for the full year was $2.18 or 5.8% decrease from the previous year. In addition to the cash NOI items just discussed, our increase in FFO per share was driven by several items, an increase in straight-line rent which was largely driven by the new lease amendments that we entered into in connection with our PAM Health properties in December 2024. Prior year write-off of above-market rent related to the GenesisCare bankruptcy in 2024. Higher revenue from interest income on our 2 outstanding mezzanine loans and a reduction in G&A and other costs in 2025 stemming from the incurrence of onetime separation pay and higher personnel costs in 2024 and $3 million in onetime listing fees in relation to our New York Stock Exchange listing. The FFO per share increase was partially offset by an increase in interest expense, largely related to new swaps that we entered into at the end of 2024 due to the expiration of prior swap maturities. Our decrease in AFFO per share was driven by the increase in interest expense, partially offset by the cash NOI items previously discussed, lower G&A costs due to lower personnel costs and an increase in interest income related to our fully funded mezzanine loans. As Michael mentioned earlier in the call, the strength and resilience of our tenant base continued as demonstrated by the company's strong financial results. We now have 75.6% of our portfolio ABR reporting financial results at either the tenant or guarantor level. We generated a portfolio-wide EBITDARM rent coverage ratio of 5.9x in 2025 as compared to 5.3x in 2024. The tenant at our Saginaw Healthcare facility, which we sold in late January 2026, was the tenant with an outsized EBITDARM coverage ratio that we described last quarter and drove our average up meaningfully. Without the Saginaw tenant included, our portfolio-wide EBITDARM rent coverage was 5.7x in 2025, still well above 2024 levels. Moving to our balance sheet. Net debt to EBITDAre was a conservative 3.9x at year-end, remaining below our targeted leverage range of 4.5x to 5.5x. Our leverage level translates into over $200 million of debt capital we can readily deploy to reach the midpoint of our targeted leverage range. Total liquidity at year-end exceeded $480 million, providing substantial dry powder for acquisitions and growth initiatives. As of December 31, 2025, we had $676 million of outstanding debt under our unsecured credit facilities at a weighted average interest rate of 4.7%. Our capital allocation philosophy remains unchanged, we will deploy capital in a manner that creates the most long-term value for our shareholders, be that through acquisitions, investment in existing properties in need of expansion, share repurchases or other means. With that, we look forward to taking your questions.
Operator: [Operator Instructions] Your first question comes from Michael Lewis of Truist.
Michael Lewis: If this first one is too specific, I can follow up, but I was wondering how much rent you collected on the Alexandria building that you're selling? I think they had some holdover rent and then also the 2 redevelopments placed in service. I think they were placed in later in the quarter. I was wondering if they contributed significant rent in the quarter as well.
Michael Seton: Michael, this is Michael. Thank you for joining the call today. Great to hear from you. On the Alexandria property, we -- their scheduled rent was essentially $40,000 per month. Their lease expired in August, and they paid holdover rent through November. The holdover rent was at 125% of the scheduled rent. So they ultimately ended up essentially if you count it this way, paying full rent for the year due to the holdover rent. So they paid total rent in the fourth quarter of $120,000.
Michael Lewis: Okay. And the redevelopments, I guess I'll tag on to that. Is there a material difference between the leased percentage you show in the supplemental versus what's commenced? In other words, do you have some rent that may be on the come that we can't see from that lease number?
Michael Seton: You mean our lease status at year-end?
Michael Lewis: Yes. I think we -- you had 2 redevelopment projects placed in service during the quarter. Those were listed, I think, as leased last quarter but they started paying, yes...
Michael Seton: Yes. So specifically, for instance, the El Segundo property, which has UCLA is a tenant has a free rent period. So they're still in that free rent period, but they are considered -- the building is considered leased as of the year-end. That one specifically comes to mind.
Michael Lewis: Okay. And my next question is about -- I guess, it's about acquisition yields, but I think you'll see where I'm going with this. When you acquire assets that are similar to what's in your portfolio or you see similar assets trade in the market, what's the pricing like for the types of assets you own?
Michael Seton: The pricing for the type of assets that we own today, consistent, I think, with what we've done on the acquisition side is we generally see rehabs kind of in the -- this is subject to performing assets, longer-term leases, good national sponsors on the operational side in the high 6s to, I would say, generally speaking, the low 7s to mid-7s. So generally speaking, 7, 7.25 can be a little tighter, it can be a little wider depending upon circumstances. And the MOB outpatient, call it ASC-type assets, we can see those get fairly tight and those can get to as low as 6 or low 6s to, I would say, generally not the high 6s so I'll say mid-6s, but MOB assets, again, 6 to 6.5. On the LTAC side, because we do own some LTACs, we frankly don't see them trade much at all. So I can't tell you the last time we saw an LTAC trade. We don't own too many, but we do own some surgical hospitals. We've seen, I would say, over the last, I would say, 12 months kind of interest, we saw call pre-2022. A lot of interest in surgical hospitals, and we've seen that kind of renewed interest, particularly over the last 12 months. And we will see those trade depending again on the credit circumstance, the lease term, anywhere from the high 6s to around 7. So I think when we think about the portfolio of assets that we own, on a blended basis, we do see it somewhere in the 7 cap range, cash cap rate going in.
Michael Lewis: Okay. So it was a little bit of a leading question to my last question. So on our calc at least, we have the stock a little bit north of an 8% implied cap rate. It's been moving in the right direction. But the question is, as you sell some of these assets and you're below leverage, what's kind of the -- I know you've gotten this question before about potential stock repurchases. I also wonder to the extent you could answer if you get inbounds from institutions or private equity about the company at this price.
Michael Seton: So as it relates specifically to stock repurchases, I'll tell you what we've always said, which is it's a tool in the toolbox. I will also say that one thing that makes us particularly cautious about stock repurchases is as we're trying to build our institutional investor base, it does pull liquidity for our stock out of the market. So that's where it causes us pause particularly. As it relates to inbounds, I would say, over time, we've certainly had interest in our company, even pre-listing, by the way, up to listing. The goal of our listing was, of course, to bring liquidity to our stockholders, which I think we've done. We have seen our shareholder base rotate, as I said in my remarks, from 100% retail to really what is now 70% institutional and so we've seen that occur. We do see that disconnect, Michael, that you're referring to. I would say it makes us cautious on the acquisition side. We are poised for growth, but we are also conscious of others out there who have run up leverage and find themselves in a box, and we're definitely not in a box today because we've got a lot of liquidity, and we're not going to find ourselves in that box, but we would like to see a higher share price fairly significantly higher in order to raise equity.
Operator: Your next call comes from John Kilichowski from Wells Fargo.
William John Kilichowski: Can you hear me?
Michael Seton: John, I can hear you.
William John Kilichowski: Perfect. Sorry, I just barred from another call. So forgive me, I'm a little bit late, and I hope I didn't miss anything. But just kind of following up on that last question. I guess it felt like I got part of the answer there. My question is at what point here -- and maybe we can start with remaining leverage capacity and where you're comfortable taking that, what that buying power means for 2026. And then my second part of the question is going to be at what point do you start to -- not that maybe you're not taking it seriously today, but at what point do you get a little bit more aggressive if maybe that incremental growth doesn't get the stock working that you start to look for other ways to realize NAV?
Michael Seton: Sure. Just in terms of liquidity, ability to buy more, we essentially to reach the midpoint of our targeted leverage, which is would be 5x because we've given some indications of between 4.5x and 5.5x, we could see investing about $225 million, roughly speaking. If we were to reach the high end of our leverage, it could be as much as $375 million. But again, we're being very discerning with the acquisitions. There is competition in the marketplace. I think our -- we have a good brand in the marketplace on the acquisition front with the developer, with the brokerage community, et cetera, with the tenant community. In terms of us looking at other ways to bring opportunity for our shareholders. I think we're always looking at that. In terms of timing, I can't really give you an indication of timing. We think the company is very solid right now. It's been stronger than it's ever been before in terms of our portfolio. And I think you can see that in the results that we reported last evening. And when we think about the opportunities also within the portfolio to really get greater yield, which I mentioned in my remarks as well, those opportunities are coming more and more. So we mentioned some there are actually additional ones that we have where we can get yields north of -- you heard Michael Lewis talk about where he evaluates where we're trading at an implied cap rate basis, north of that. So we're going to take advantage of those opportunities within our portfolio that only exists when you own the existing real estate and have those existing direct tenant relationships so we're going to continue to be forward-footed as it relates to taking advantage of opportunity in deploying our capital, but we're going to do it cautiously and thoughtfully.
William John Kilichowski: And in that same vein, if you think about the $375 million of capacity that you mentioned to the high end, what's a fair cadence for that as we look at maybe the incremental opportunities that are starting to come to you, yields have been relatively steady. Transaction markets seem to have improved for most. I'm curious, is there an improved cadence relative to what we've seen in the past that could maybe accelerate AFFO growth from here?
Michael Seton: I think the market will drive the cadence. That being said, I think that gives us about 24 months of buying capacity. So from an indication perspective, I would expect volume this year to be similar to what it would be last year. And of course, we already made an acquisition this year. It could be more at the -- towards the end of this year as opposed to the beginning of this year, particularly as we're focused on investing capital in these development opportunities with our existing tenancy and existing assets.
Operator: There are no further questions at this time. I will now turn the call back over to Michael Seton, CEO. Please continue.
Michael Seton: I would like to once again extend my sincere thanks to the entire Sila team, their hard work, dedication and commitment to excellence continue to drive our success. We deeply appreciate the support and confidence of our shareholders and remain excited about the opportunities that lie ahead in 2026. Thank you for joining today's call.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.